Operator: Good day, and welcome to the BJ’s Restaurants, Inc. Corporated Fourth Quarter 2020 Earnings Release and Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Greg Trojan, Chief Executive Officer. Please go ahead, sir.
Greg Trojan: Thank you, operator, and good afternoon, everybody, and welcome to BJ’s Restaurants fiscal 2020 fourth quarter investor conference call and webcast. I’m Greg Trojan, BJ’s Chief Executive Officer. And joining me on the call today is Greg Levin, our President and Chief Financial Officer. We also have Greg Lynds, our Chief Development Officer and Kevin Mayer, our Chief Marketing Officer on hand for Q&A. After the market closed today, we released our financial results for the fourth quarter of fiscal 2020, which ended Tuesday, December 29, 2020. You can view the full text of our earnings release on our website at www.bjsrestaurants.com. Our agenda today will start with Rana Schirmer, our Director of SEC Reporting, providing our standard cautionary disclosure with respect to forward-looking statements. I will then provide an update on our business and current initiatives, and then Greg Levin will provide some commentary on the quarter and the current environment. After that, we’ll open it up to questions. So Rana, go ahead.
Rana Schirmer: Thanks Greg. Our comments on the conference call today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and that undue reliance should not be placed on such statements. Our forward-looking statements speak only as of today’s date, February 11, 2021. We undertake no obligation to publicly update or revise any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise, unless required to do so by the securities laws. Investors are referred to the full discussion of risks and uncertainties associated with forward-looking statements contained in the company’s filings with the Securities and Exchange Commission.
Greg Trojan: Thanks, Rana. And good afternoon everyone again. Given the broad increase in the dining restrictions that occurred in November and December, I’m very pleased with our team’s accomplishments during the quarter. As we reported in last month’s business update, the quarter began strongly in October with weekly sales for restaurant averaging over $83,000 despite dining rooms in only 28 of our 62 California restaurants being open for the full month and significant dining room capacity limitations across our system. Beginning in November, as you know, numerous states rolled back dining reopening and California in early December closed all outdoor patio seating, which limited our sales in the state to delivery and takeout only. As such, sales in November and December dropped from October's 83,000 weekly average to 78,000 in November and 60,000 per week in December. In the face of these challenges, our team once again demonstrated their ability to maximize sales and tightly control our operating expenses, allowing us to generate positive EBITDA for the quarter. In 2021, we have returned to growing our top line, and the momentum has continued to build each week. Gradually easing of restrictions first outside of California, followed by the opening of outdoor dining again in California at the end of January, along with government stimulus payments, and the continued implementation of our sales initiatives helped us increase our average weekly sales to $66,000 in January and to more than $74,000 this past week. Although we are prepared for the pandemic recovery to continue to be on even, we are optimistic that ongoing vaccination efforts and improve treatment protocols will continue to have a positive impact on sales. Our ability to take advantage of improvements in the sales environment will benefit from running the plays we have learned over the past year to maximize dining capacity for both indoor and outdoor seating. And in addition, we continue to double down our efforts to maintain and grow our off-premise business. Our ability to prioritize the near term while not neglecting the longer term opportunities for our concept will pay dividends in the years ahead. Our first priority throughout all of this, though, has been to confront the daily challenges of operating our restaurants in this environment. The number of obstacles has been great, but the pace of change related to the operating restrictions, supply chain disruptions, PPE regulations, etcetera has been truly unprecedented. And as we've navigated these challenges, we've also been very conscious to take advantage of the circumstances to improve our business for the long term. There's a great opportunity for us to build stronger relationships with our guests, and as we work harder than ever to serve them in more ways than ever. Our steadfast commitment to operating as safely as possible and not bending our or breaking the rules, like many operators have chosen to do, we believe is building further confidence and trust in our brand. Building new muscles as an organization in virtually every functional aspect of our operations has been and continues to be our mindset. Key to operationalizing these improvements, however, is ensuring that we have a strong flexible balance sheet to make the prudent investments that will enable us to be opportunistic in the months and quarters ahead. We adopted this mind set at the outset of the pandemic which led us to execute an equity offering last May to raise $70 million. We recently raised an additional 30 million through an add on at the market equity offering and along with our previous extension and recent negotiation of our credit agreement, we're in a strong position to invest in the right growth initiatives, while ramping up our new restaurant opening case when the time is right. As a result, we've already made investments in high design quality partitions within our restaurants experiencing excuse me, experiential outdoor tents, heaters and audio visual upgrades, which are important headstart, as we see restrictions easing and spring weather approaching. We have also made important physical improvements to our restaurants to better execute off-premise demand, such as kitchen system technology to improve order visibility and pacing, enabling our kitchens to sink both in restaurant and off-premise demand with our restaurant capacity. Front end order and pickup technology to drive convenience and order accuracy is also helping provide a better friction reducing experience for our guests. We've been averaging approximately $28,000 per week in off-premise sales in the recent weeks, which is maintaining more than double our pre-COVID levels. And we remain committed to growing this from its base. We're also pleased to see our guests increasingly engaging with our brand digitally. More than 25% of our dine-in checks are now paid digitally via mobile pay, and over 80% of our off-premise orders are placed through digital channels. Additionally, more than 80% of curbside orders are now using our easy digital check in functionality to alert us that the guest has arrived. Our innovations that increase convenience and reduce friction will surely remain popular with our guests well after the epidemic pandemic has passed. In the fourth quarter, we also made good strides on several of our longer term sales building initiatives. First, our beer club membership program continued to show promise. Members were engaged with the program enjoying both the special beer releases and taking advantage of the program's benefits and they increase their visits to BJs. We're very excited to build closer connections with our guests that love our beer, and to further promote our world class award winning brewing skills and creativity. Our pipeline includes some of the best beer from our R&D brewing team, including our Bourbon Barrel Chocolate Stout, and our Coffee Blonde, which was awarded a bronze medal at the most recent Great American Beer Festival. We plan to launch our beer club in most of our California restaurants in the next couple of months, and are evaluating the expansion into other states later this year. Next, we began testing our virtual brand called Slow-Roast in the fourth quarter and expanded the test to 13 restaurants last month. This is a delivery only concept with a focus menu featuring our slow-roast and other protein centric products. Sales continued to build week over week and our guest ratings were averaging 4.8 out of 5 stars. We will continue to closely monitor this test to ensure we're building incremental sales and profit while maintaining our kitchen efficiency. But early results are promising. Finally, we continue to believe their significant growth potential in our catering business. We added individually boxed meals to our catering menu in September and have seen impressive demand, including some very large orders from companies leading the fight against COVID. We're extraordinarily proud of this business for small role in helping the frontline workers battle the pandemic. Our strong balance sheet also enables us to accelerate new restaurant growth. We remain committed to limiting our 2021 growth to opening the two restaurants located in Merrillville, Indiana in Lansing, Michigan, which were already under construction at the outset of the pandemic. While we continue to believe it will take more time for the real estate landscape to reset in any meaningful way. But when it does, we are confident it will open up attractive new locations for our concepts. While our real estate team is hard at work assembling a robust pipeline for 2022 and beyond, we are being cautious about committing to new leases until there's more clarity in regard to a more predictable dining environment  When we do commence committing to new leases, we expect to build in flexibility regarding pandemic related delays in regard to opening day commitments ranked commencement etcetera. That said, we look forward to resuming an accelerated new restaurant opening cadence toward addressing and realizing the geographic potential of our concept. In summary, the point is clear, we're not standing still and playing defense only. We're spending time and making investments to improve our concept differentiation and competitive advantages as we emerge from this pandemic. Before I turn the call over to Greg, I wanted to take a moment to thank our team members for their ongoing commitment to serving our guests with gold standard service. I could not be prouder of their efforts, the pandemic has presented new challenges to all of us, and our teams have successfully navigated all of them. Our recent performance and future growth would not be possible without our dedicated team members that strive to deliver a great experience to every guest while supporting our business principles and goals. So now I'll turn it over to Greg to provide some commentary on our financial results.
Greg Levin: Hi, thanks, Greg. As detailed in our business update on January 21, sales continue to be largely dictated by capacity restrictions. Therefore, my commentary on both Q4 and Q1 to date reflects where we are with the ever changing national, state and local restrictions and regulations regarding the dining room limitations. Please remember, this commentary is subject to the risks and uncertainties associated with forward looking statements, as discussed in our filings with the Securities and Exchange Commission. As Greg Trojan mentioned, October started strong for BJ's with 88% of our dinings open, and comparable restaurant sales, rebounding to down just 20.6% however, beginning in November, numerous states fall back to dine-in offering. Then in December in California, where 62 of our 209 restaurants are located closed all dining rooms and outdoor patio seating, limiting ourselves and the state to only delivery and takeout. As such comp sales in November and December decreased to negative 27% and negative 35.3% respectively, and finished the quarter with comparable restaurant sales down 32.3%. Our total revenues for Q4 were $197 million, and we recorded a net loss of $18.1 million in diluted net loss per share of $0.81 on a GAAP basis. Our fourth quarter results include a net charge of about 200,000 as it for again related to the sale leaseback about leverage, which is in Ohio, and that was offset by an impairment charge from other restaurants in the Seattle area. While the Q4 results reflect the November and December reverses in dining capacity, our dedicated team members protected and serve our guests while managing the negative leverage in our business, allowing us to generate positive adjusted EBITDA of 2.4 million for the quarter. Given the number of dining rooms and patios that were shut down, can lead to discard food because capacity was significantly reduced, and the constant and ongoing labor adjustments we made to address the changing rules and regulations. This is a meaningful accomplishment by the industry's best restaurant and Field Operations Management Team. In regards to our operating results, the resumption of dining room restrictions during the quarter impacted several metrics. Cost of sales came in at 25.8% for the quarter, a 60 basis point increase over the prior year driven primarily by increases in cheese and meat costs. On a quarterly sequential basis Pizza process sales were 120 basis points higher than Q3, which is primarily due to the higher cost. The higher cost is related to those higher seasonal inflation and our conscious decision to promote a discount or prime minute specials throughout the holiday period to move what could have resulted in significant excess inventory of our fresh primary rib as a result of California deciding to shut down on premise and patio dining in late November. Our culinary team came up with creative take out family prime rib bundles for the holidays, that along with our other prime rib promotion help us see approximately 1 million of primary products in the last two weeks of December alone. For the answer our prime rib items our guests rebalanced our inventory. And as such, we do not have to describe any excess inventory. Labor came in at 38.4%, which was 200 basis points higher than the prior year. From the year-over-year perspective, we continue to leverage all of the labor are driving sales in the off-premise channel by benefitting into a nice smaller menu. These savings are offset by deleveraging from the lower sales volumes of fixed manager labor benefits, and restaurant level equity compensation. Operating and occupancy costs were 29.1% for the quarter, inclusive of 1.6% of sales from marketing. Operating and occupancy cost average about 21,100 per restaurant operating week, and that represents a decrease of about 13% compared to last year. Including operating activity costs with over 1.4 million of operating expense for temporary patios, and approximately 150,000 for personal protective equipment, and cleaning supplies to ensure the safety of our team members and guests. Our temporary patios generate over $50 million in revenues for the quarter, making a $1.4 million incremental expense, a very high ROI. G&A for the quarter came in at $13.3 million. On a trend basis, G&A was down approximately $2 million compared to the prior quarter and that’s primarily due to the reversal of incentive compensation in the fourth quarter. Turning through the balance sheet, during the quarter, we paid down additional $10 million of debt. As a result, we finished the year with approximately $54 million of cash in our balance sheet and funded debt of approximately $170 million. Even though we have been generating positive cash flow, paying down debt can have a solid financial position, we thought it prudent to raise an additional $30 million of equity capital last month. As Greg said, the vaccination is underway. And as we look to the future, BJ has the capital necessary to not aggressively pursue that new restaurant expansion and further invest in our sales driving initiatives. Now shifting to today, as I said at the beginning of my prepared remarks, our sales continue to be governed by the varying capacity limitations imposed by local and state regulators. We started January with all of our California restaurants limited to take out or delivery only, and also had dining rooms shut down and our restaurants in the Pacific Northwest Michigan and a few other states and locations. As such, we had approximately 54% of our dining rooms open in January and finished January with our weekly sales average of approximately 66,400 for Restaurant Week. In February today, California’s dining remain closed, while patios have reopened. Restrictions have also used in Michigan, Washington and Maryland. As such, our weekly sales average for the first two weeks of February has increased to around 74,000 per week. At our current weekly sales level of approximately 74,000 per week, we expect to be a modest use of cash of less than 500,000 a week, which is inclusive address another manager bonuses for grants interest expense, and also for maintenance CapEx, and some other investments in our business to drive sales. As we think about this year, it is very difficult to provide sales wages due to the ever changing capacity restrictions, curfews and other regulations we face. At present, capacity restrictions are loosening, which will lead to higher sales. Like everyone, we are hopeful that increasing vaccinations should allow us to get back to 100% capacity sometime in the second half of this year. And we see the opportunity for sales more fully recovering given our differentiation and value, as well as the broad health and safety measures we've implemented across our platform. With regard to the middle of the P&L right now we anticipate commodity inflation between 1% and 2% the cost of sales in the near 25% range. However the level of the level of open value in the result in different promotions or menu mix and that could drive cost of sales somewhat higher or lower. We are targeting G&A of approximately 67 million for 2021 which includes more than 6 million concepts of compensation compared to less than 500,000 less in 2020, due to the impact of COVID. The G&A budget also includes 7.8 million related to equity compensation, compared to 7 million in 2020. Therefore, if you look at what I would call controllable G&A, or G&A excluding incentive and equity compensation, we expect G&A to increase by approximately 6 million in 2020. However, I think the right way to look at this would be to compare it to 2009, which takes into consideration the normalized operations. As such compared to fiscal 2019 our controllable G&A, we've increased by approximately $500,000 or less. At the current time, we expect to open two restaurants in 2021, as Greg noted down in Merrillville, Indiana in early May, and the other in Lansing, Michigan in early June. We anticipate reopening of Richmond Virginia restaurant sometime in 2021, which has been temporarily closed. However, our goal is to open 7 to 10 restaurants in 2022 by taking advantage of some of the real estate opportunities to come to drive high ROI expansion. Therefore, our 2021 Capital home will include a CapEx dollars for 2022 for restaurants that will open in fiscal 2022. Overall, I would expect our fiscal 2021 CapEx to be between 35 million and 50 million depending on when you start construction for restaurants we plan to open in fiscal 2022. It is important to note that 2021 CapEx will also support our film driving initiatives, including the beer club, catering and off-premise, as in the past, because we have the flexibility to pull back on these cash expenditures based on the operating environment, as many of these efforts are discretionary, and variable. As we reflect on 2020, we couldn't be more proud of the resiliency and determination of our team members. Though we endured unprecedented challenges to our business, they successfully created and implemented enhanced safety protocols for all our team members and guests. We imagined are in restaurant patio delivery and takeout functions, modified our menus, engaged guests with unique marketing and loyalty offerings, and leverage our technology investments to build the best BJs experience possible to our loyal guests. Our teams are battle proven has always been the core of our success and long term growth. Throughout the pandemic, our customers have remained very loyal and attracted to the great food, drinks, service, hospitality and fun times of family, friends and co-workers teenage and others that BJ delivers. Whenever we have reopening, or expanding capacity just responded enthusiastically with strong volumes traffic and check. So despite the challenges, we continue to execute on our long term strategy by re-evaluating and reimagining our operational protocols and menu offerings, by building on our technology investments to position the company for the next significant growth phase. Trends in February are encouraging and we believe the rollout of vaccinations will lead to loosen capacity restrictions and encourage even more guests to return to our restaurants over the coming quarter. Given the service enhancements and operational changes, we have implemented, we stand to achieve meaningful growth as our volumes continue to approach previous levels. As such, we are highly confident that once the post COVID normalization materializes, we will realize sustained margin uplift in New Zealand where aggressive expansion phase complemented by a range of sales driven initiatives. With that, I will go ahead and open it up for questions, operator.
Operator:
Q - David Tarantino: Hi, good afternoon. I had two questions. First for Greg Levin. Greg, I'm wondering if you could give us a little bit of help and in thinking about restaurant margin and how that might progress as the volumes rebuild. And specifically, as you get back to 100% capacity and the sales level you'd expect at that level. Where would you expect restaurant margin to be in that scenario, given all the changes that have occurred since the start of the pandemic?
Greg Levin: David, I think we've got an opportunity as sales start to recover, to get back to margins. We saw really much more in 2018, and so forth. In that standpoint, that gets us back into 80 plus percent. I think there's a good opportunity for that, if not better, you continue to drive off-premise sales, which have shown to be very profitable because of the labor benefit, they have not having to put a server against that part of your sales to really leverage the kitchen, I think the investments we've made in digital have proven to be really good for us and for our guests. And that'll save in regards to expenses around menu pricing at our point of purchase materials. And then I think our cost of sales will continue to kind of bounce around a little bit. But as we have less cost and less items out there, we get more efficient, and we'll see some opportunity in that. And then we talked a lot about just our labor, the fact that we continue to see less hourly labor being used in the in the back of the house in our kitchen, just because of less menu items. I think all those give us a really good opportunity to drive margins, to where they were previously if not better, as sales continue to recover.
David Tarantino: Right. And on that, Greg, would that would that assume average weekly sales back at that, I guess, one that's 107 110 type of range that you were in at that time? Or would you be able to accomplish that margin profile on a lower sales volume?
Greg Levin: I don't know if I know the answer to that quite yet. Dave, as they start to ramp up to the next level, I think we have the ability to actually get back to historical margins, and maybe lower weekly sales average. That kind of based on the fact that, again, less menu items, we continue to drive the way the takeout part of our business and a very highly leverageable part of our business has an opportunity to get there at a lower sales volume, per se. But, we need to be perfectly honest, having gone through and try to model out what sales volume is going to look like in 2020, post COVID. As much as we continue to think about the things right in front of us right now, in regards to the daily, tackling and blocking, so to speak.
Greg Trojan: And the only thing I’d add. As we're thinking about this margin opportunity is really in the context of establishing weekly sales averages that are more than our historical levels, because we continue to firmly believe the dine-in business is going to come back like this. And I think we will see pent up demand and passion around dining with friends and family like we've never seen before, for some time. And then, the reason we're so focused on keeping and growing this off-premise business is that becomes incremental to those historical sales averages. So, we say this all the time, but the easiest way for us to drive higher percentage margins is to leverage a bigger number on the on the top line for the fixed cost elements of our business. So, I do think, Greg, is accurate in saying that, given all the mix and advantages, it's there. We see an opportunity to have margins return and maybe lower volumes or set differently, a little higher margin at the same sales levels. But what we're really the eye on the prize here is, let's establish new levels of sales, weekly sales and our concepts of to leverage everything like that's really the intention.
David Tarantino: Yes, makes sense. And then, if I could slide one, one more in on the strategy, Greg. I guess, why -- why are you pursuing the concept of a virtual brand at this point? I guess it's not obviously you have excess capacity in the kitchen. And I'm just wondering why why you would be more focused on growing the [Indiscernible]
Greg Trojan: Yes, I think that's obviously a good and fair, fair question. But look as busy as our restaurants are, we get that question a lot in from another different perspectives of like, Well, why wouldn't you prioritize. I think your question is essentially higher margin business, given how busy your restaurants are, but I always remind people that we flex capacity during the week and during the year all the time. And when we look at our P&L in May and June when we're running some of our highest weekly sales volumes or in traditional times, November, we're flexing a lot of growth there. So we essentially, the answer to your question is we do have, "excess capacity". And we see this as a way to drive incremental dollars through our system and through, again, the fixed cost structure that we have. So, as I alluded to in my remarks, we want to make sure these are truly incremental for the reasons you're asking. But if that ends up being the conclusion, and obviously, we suspected is, so we wouldn't be doing that, then it is adding incremental value to our business and to our shareholders. The other element I would add is, again, I alluded to some remarks, but just to accentuate is, we are pursuing this concept perhaps a little differently than others in that. We're doing so and engineering it from the kitchen -- starting with the kitchen more than almost starting with the guest. And by that I mean, we're minimizing disruption in the kitchen first, and seeing if that will sell versus why don't we think is the optimal guest menu, et cetera, even in and protecting our kitchens first and foremost, if that makes sense. So that we don't end up impacting the productivity and efficiency of our kitchens and impacting capacity even more. So, our point of view is, look, we're not going to do this if we start impacting kitchens in a way that's disproportionate to the volume. And we'll see what kind of sales we drive with that constraint in place first.
David Tarantino: Thank you for that detail.
Greg Trojan: You're welcome.
Operator: And we'll go to our next question from Jeffrey Bernstein of Barclays.
Jeffrey Bernstein: Great. Thank you very much. Two questions as well. The first one, just on the unit growth, which I know comes up pretty regularly in discussion. And I think you said doing two in 21, similar to 20. But encouragingly, ramping that to seven to 10 I guess, in 2022. Just looking back at our models, I know you had done 15 to 20 a year, just a few years ago. So I'm just wondering your thought process, especially when you talk about the contraction, the casual dining supply, which just seem like a huge opportunity. Whether or not you're able to turn it on that quickly and do it in 2021? Or why not maybe 2022 wouldn't be a lot more than maybe achieving new highs relative to prior? I'm wondering whether there's any view from your perspective, that there's just a quality of site issue or a labor constraint issue? Because again, I know you did it successfully a few years ago. And now it would seem like more of an opportunity than even then?
Greg Trojan: It's a good, big question, Jeffery. And then, really the bottom line is we say this all the time is, the constraint isn't sites, it really is people and the pipeline timing really, is another one and specifically in the context of COVID. Because we have not turned on. We have not yet gotten to the point where we have frankly the level of confidence that the COVID coast is clear enough where we want to commit to this level of sites. We're feeling better and better about that. But it takes at least typically 18 months of pipeline before we identify site and it opens, right? And can be more and can be a little less at times here. So, first and foremost, it's around quality and having the people and event strength developed and ready to open that many restaurants. But there also is, like I said, a timing consideration here where given that it's 18 months, we'd have -- if we wanted to do more than that, we'd have to start yesterday or before to the opening more restaurants than we're describing here. And we're just not quite at the point where we're ready to flip the switch and go where we have a level of confidence from a COVID timing perspective. We're getting closer, but we're there. Now one last thing and I think [Indiscernible] is that is to say, though, that we are as happy as ever that we can get back to those kind of numbers. It's a matter of ramping. And we are excited about the environment and the opportunity clearly here. But for years and years, people have asked us, why can't you go faster? And we're going to air on opening with quality than quantity overall.
Greg Levin: And the only thing I was going to add to that, Jeff, is the -- everybody thinks that the floodgates have opened in regards to sites. And they just haven't quite opened yet. I mean, we've continued to believe they will. And our real estate team got together a good pipeline. But we wanted to make sure at the same time, which could be opportunistic on sites open. And when we think about nearly the good AAA sites. We're not quite seeing the softening that maybe people discuss on opening certainly those markets. If we want to go into BMC sites, we can go into those all day long and open 15 to 20 restaurants, but as Greg already said, we want to do it with quality, that's been a hallmark of BJ. We have not had to close a restaurant because of performance in that regard. And even now, even though we taking some impairment on restaurants, we've had to do that mainly because around COVID, and the accounting rules, versus where those restaurants were operating a year ago. So again, we've always been quality first. And we'll continue with that. But at the same time, we're going to be opportunistic when those availability of new sites come about.
Jeffrey Bernstein: Understood. I guess it's encouraging to hear. Greg Trojans said, you can't get back to that 15 to 20. So maybe it's not in 22. But that's on the radar and well within your capabilities?
Greg Trojan: Absolutely.
Jeffrey Bernstein: And my follow up was just on the labor cost side of things, I mean, clearly you felt a couple 100 basis points of pressure this quarter. It seems like a lot of people are talking about these opposing forces, whether it's national minimum wage potentially going up. But on the flip side, unemployment high, which often implies the labor. So I'm just wondering with that kind of context love your outlook on the labor cost outlook and availability? Maybe your confidence in offsetting the pressures, whether it's through cost savings, or technology, or whether you have to revert to menu pricing? Obviously, you operate a lot of restaurants in California, so you have a head start versus many others and how to deal with this? But just trying to get your sense for the labor outlook. Maybe your mix of majors to credit workers, any color would be great? Thank you.
Greg Levin: I'll take the first part and I'll see if Greg has any to add to it. But because of our geographic settings today, we're going to add minimum wage increases as a path as we move through there. We have -- I want to say less than 50% of our restaurants that would be impacted in the first couple of years because of the minimum wage increase -- the federal minimum wage increase, obviously, throughout California, and some of the other ones from that standpoint. But we're already in lot of our restaurants significantly above the federal minimum wage, so there's less impact maybe to BJ versus a more regional competitor to some of those lower cost states from that standpoint. So I think that kind of puts us in a better footing maybe than some of the others. As we think about in general, and we said this before, that prior to COVID, the real issue on wage rates was not minimum wage increases in California and other states. It was the -- at that time low unemployment, because it was in the mid 3% range or so. And everybody was fighting for good line curves, and getting people in their restaurants overall. And that as you see, Jeff, and we cover a lot restaurant companies. We're seeing kind of 5%, 6%, 7% increases in wage rates across the board, both kitchen and also the dining room. As we went through this year, we've seen that obviously flattened out. We're not seeing quite the increases that you see in the kitchen right now that we saw earlier in the years. However, I would say at least currently, it's still somewhat challenging to get team members back into the restaurants. Some may have gone to new industry, but others are really just not necessarily comfortable coming back into the working environment yet. And I think that'll ease over time as vaccinations would been out at them. And as a result, we're going to see, I think, a better labor market than we've seen over the last couple of years. And that'll help kind of manage some of the costs within the kitchen in some of the other areas. We will always invest in technology. We always have a BJ's handhelds out there. We're moving to tablets and other things for guests to use. But we're not going to sacrifice the service and hospitality that our guests demand. In fact, we're doing a lot of research right now on our guests that they really respect and admire and why they come to BJ. And frankly, service and hospitality sit at the top of that. So I wouldn't be sitting here trying to build the model on your end and saying, okay, with wages going up, BJ is going to take servers from three, four cable stations, the eight, nine, 10 cable stations. We're going to cut their menu down to 50 items, and have everything run through quadrants. That's not how we're going to grow top line sales, which is offering the best way to manage labor. So we're going to take more of that central curves. But we'll always invest in technology. If we know what our sales are each week, we can drive really or manage really good labors. The challenge that we see from COVID is those schedules go up and down each week. But when there's predictability in our business, we'll get leverage in that. And that's what we need to do and we'll continue to invest on that aspect of it.
Jeffrey Bernstein: Great. Thank you.
Greg Levin: You're welcome.
Operator: And we'll go to our next question from Nicole Miller of Piper Sandler.
Nicole Miller: Thank you. Good afternoon, Greg and Greg, thanks for the time. I thought since you put up Kevin in marketing, as also joining. I may ask a question headed in his direction. So I was wondering about marketing from the perspective number one of positioning. This is a local favorite brand, but also with the National opportunity to grow and scale. So kind of what's the messaging and what's the ideal channel? And then part two, the full service for casual dining segment has been able to really pull back on discounting in the current environment. And do you see any, I guess, change in tactics to become to discount marketing again, anytime soon? Thanks.
Kevin Mayer: Greg, you want to jump it on this?
Greg Trojan: No, I think, Nicole was asking you.
Kevin Mayer: Okay. Thanks a lot. I Appreciate the question. So I guess first on the positioning area, as Greg was saying a lot of what we do from a messaging perspective, first start at the experience, the relationship our guests have with our brand. So a lot of what we do there starts, but we also, of course have, we'll call it use cases in the areas of dine-in and catering and delivery. So our message starts really, first with that connection. And then secondarily, we try to extend that into the areas of the needs state or the use case. And so we have position, not at the brand level, but everything from carrying to our beer messaging to what we do with delivery, et cetera. And Greg mentioned, we're doing some research right now and what we call the concept actions. And so we're still learning a lot more from our guests. And we think there's still more to cultivate their nationally against the experience. And the feeling that people have at BJ. So that your answer for number one. And then in a discount space, we have done a lot less here, for obvious reasons. But we're actually into more is tactically is in the value space. So things like our Brewhouse Specials have done so well for us. They continue to get played back to us from our guests. What we do and in some of the Happy Hour areas, some of the bundles we've put together in the off premise space that all been a highly interesting to our guests and taken advantage of it. And so what we're doing now is looking at more opportunities there as well as we still leverage a lot of our digital to get that message out. We do a lot of programmatic targeting. We do a lot of social marketing, of course, our email for loyalty. So those tend to be our strongest channels right now.
Nicole Miller: Okay. Just to make sure, I think a lot about the value proposition, right. But the value proposition I was just going to say versus actual discounting, but I'm sorry, interrupted. Thank you.
Greg Levin: Yes. The value proposition. Go ahead, Greg.
Greg Trojan: The other element that is grown and then, I think intrinsic to the value proposition is the popularity of our loyalty program and the frequency that it drives and the engagement of our loyalty guests, Nicole, give us an ability to drive value. I think it's somewhat of a unique way. So I think all of the above is our mindset is around continuing to pull back on "conventional discounting" to the extent that the competitive environment permits us to and I think we've got more weapons to keep it that way than we have in the past that are more productive, but also more unique to BJ's.
Nicole Miller: That's a very good point. And thanks for taking my question. Its a very helpful update this afternoon. Thanks again.
Greg Trojan: Thank you.
Operator: We'll go next to John Glass of Morgan Stanley.
John Glass: Thanks very much. Greg, just first, you talked a lot about how sales have declined rapidly even everything you've done. How are you now preparing for that rebound in sales? As you mentioned, that may be just as unpredictable as to decline? I'm thinking specifically about how long it takes you to recapture a boompack [ph] being labeled back and is a lag or need to retrain folks, for example, maybe there's other areas like supply chain, you need to make sure you got visibility and good supply. I suspect everyone's going to be looking for the same supply and same labor at the same time? What are some of the steps you're now preparing for as you start to see the other side of those?
Greg Trojan: What, John, we've seen such ups and downs in our business here and during the past year. It's -- that's not something I lose sleep over honestly. Is like we are -- our operations, ability to train and hire folks and adapt to higher volume. That's obviously a problem we look forward to having. Obviously, COVID presented some challenges from a supply chain. We've had disruptions here and there and have had to work around those, but in a normalized environment, we have great vendors and a great distribution system. And so, that's what we do. And I don't envision. It's not going to happen overnight. We're not going to be at 110,000 a week in three weeks. So, I think we've demonstrated. As we've opened up dining rooms, this, but we'll get it rebind [ph] notifications on a regular basis on a Thursday that we can open on a Friday. And sometimes we say, look, we want to make sure we can open well, and we need to gather the troops and make sure we have some of our veteran servers ready. So we'll wait a day or two. But we've been able to ramp up. When you go from carrier to off premise only in California. They're opening up sit down dining and dining rooms, et cetera. That's -- its a pretty big increase in a short period of time. And our operators are able to -- have been able to do that. So I don't mean to be dismissive about it. So it's a good question. But it's -- I can't wait to have that and think about some more.
Greg Levin: Yes, John, it would be nice problem [ph] to have when sales start to come back to that, which they will. I think there are always going to be some of those issues. I mean, we go back to Q4, and I think it was in yesterday's Wall Street Journal was that the cost of propane gas is going up. Propane tanks went from $40 to like $90. Those are the things that we will see and continue to see I think as restaurants open up, and they'll be the incremental costs just like they were with PPE and getting propane gas or getting tents put up. Thankfully, we've got a great supply chain team that works at. We also try to do forecasts for our supply chain team to work with our suppliers to make sure they're thinking down the road in regards to those supply chain to happens in place. And I would probably say there's more like bumps in the night because they do happen here or there. In that regard -- and then the other side of it, we done a really nice job keeping in touch with our alloy team members, trying to make sure, letting them know when we think things will change and we'll be able to bring those back. Generally, I think what you're going to see in this business though, is as sales go up, businesses will leverage the heck out of those sales, because you're just behind it a little bit in regards to keep getting the expenses in timely, much like the opposite happened to us, in Q4, as sales got shut down. We had incremental costs in our business that we normally wouldn't had if we are always running at x, let's call it 73,000 a week. So I think you're going to see some really nice early on margins for companies. And then we'll slowly get ahead of it a little bit in regards to bringing back the right staffing levels, the right manager levels, and so forth, you'll start to see those flattened out.
John Glass: Thank you. One other question, when you pause development, you probably had a chance to rethink the format of the stores perhaps if you think about 2022. What is change, right, when your competitors thinking about actually adding a drive-thru? Do you include permanent social distancing or larger partitions in the restaurant as this may be something that lingers? Do you think about a smaller change? Any fundamental aspects of the prototype which you think about 2022?
Greg Levin: Another great question. A couple of those are good examples where we think -- we didn't we didn't do the quick and cheap version of partitions. We did what I think I referred to yours high design or whatever you want to call it. But these, look, are partitions. A, look like they were there from the beginning, and they don't obstruct a really important part of our restaurant, which is this open field to them. And the fact that you can see our bar statement through just about every seat in the restaurant. And so we were very careful about how we approached the design and actually did some testing, different versions on partitions. Because I believe they're here to stay for some time to come years not months. But most of have been thinking around the off premise capacity perspective. So some kitchen engineering and placement of line elements and where we can stage more of the product in the kitchen versus and take out. Those kind of ergonomic productivity elements, I think are big. There is more physical space for to accommodate third party delivery, et cetera, things like that, but I put them all in the sort of capacity bucket if you will. I thank you for putting on your list, shrinking dining rooms. We are not -- we believe dining is going to come back bigger, and we're going to grow the capacity reasons. We're going to need every seat in our dining restaurants that we have today. So that is not on our list. But a lot of the others you speak of are good examples of things we're looking at. drive-thru is not one of them. I wouldn't say no, never. But our current thinking is that we can execute the takeout experience and in a concierge kind of way, actually more effectively and faster given the advantage we have in large parking capabilities that we do than sequentially fulfilling orders through drive-thru. We're open minded and are looking at a lot of possibilities there. But at the moment, that's not highest on our list anyway.
John Glass: Thank you.
Greg Levin: You're welcome.
Operator: And moving on, we'll go to a question from Brian Bittner of Oppenheimer.
Brian Bittner: Thanks. Hey, guys. When we think about the recent improvement in your average weekly sales volumes that you talked to, get into around $74,000 last week or for February. Can you give us some context as to what that capacity availability on averages across your portfolio in February to achieve that average weekly sales level? I think that would just help us better understand the relationship between capacity and sales?
Greg Levin: Brian, I don't -- I have to get back to you on -- I just honestly, I don't have that in there. I mean, I tend to think about our business. And think of it a little bit the way you talk about it. But I was telling to look at our business versus let's call it October where we're doing 83,000, 84,000 plus. And in that month, we had I want to say 48 of our California dining rooms open at like 25%. And now we don't have any of those California dining rooms open. And we can get our dinning room opened in California with our patio, we get effectively to 50% in that regard from that standpoint. And right now, which is patios, I think about California is probably around a 25% effective capacity or even a little bit less than that. So I don't know if that really helped you or not. I'm sorry, I just don't necessarily have. It open out in that way for the first couple of weeks.
Greg Trojan: It's also, there is no dine-in. And then the effective capacity of outdoor seating is very tricky, obviously this time of year and with restrictions to like, even defining capacity. It's like I said it's tricky with weather and reg. Regulatory is easier to figure out obviously.
Brian Bittner: But it is safe to say your capacity in February is less than it was in October, correct?
Greg Levin: Yes. I think if you look at our January 21. At least at that time, we said, we are like 88% of our dining rooms open. That's also going to have patios. Then obviously we went down to 64%, even getting California patios doesn't put us anywhere close to where we were in October. Also, I think places like New Mexico we were close. Oregon and Washington just recently opened. So it's a lot less than the October time frame.
Brian Bittner: Okay. And just in a scenario where you do get all your capacity back via restrictions going completely away, which I guess you've suggested, it could happen maybe sometime in the second half. In that scenario, would you expect to fully restore your volumes in lockstep with getting to 100% capacity? Or is there some reasons we should be aware of to expect a lag and kind of how your sales volumes fall, the capacity increases?
Greg Levin: Now, I think our sales volume will be greater than our capacity because of the off premise and because we will still maintain a certain amount of patios in our business. We are effectively increasing overall capacity versus let's call it 2019.
Kevin Mayer: The other element to it is, and we'll see how long this last. But when people are going out. And I think this will be for some time they are spending more. Our incident rates on all elements of our menu when people are dining out, including alcohol, or we're driving higher check in every element of our business. But because takeout checks lower on an absolute basis, our check is still growing, but not as much as the percentage increase in each of those channels, if that makes sense, right. But more important point is just overall, I think you're going see, Greg's point, we will have more effective capacity. Like people have told us, by their actions that they like sitting outside, at least in certain parts of the year in certain parts of the country, particularly California. And I don't think -- we're not envisioning all of that going away post COVID.
Greg Levin: Yes. Then couple of off premise. And just the things that we created specifically for the off premise channel. I think there's that opportunities to have, as we said, to keep that number up, if not grow it. So I think effectively, you've got an increase in off premise, which is a capacity increase, and in the way we structure some of these patios. I think this is about that. And then frankly, with patios comes about later, its kind of direct question or your question earlier, Brian, it's sometimes hard to measure our capacity where we have a patio open, but it's cold out, and they'll be sitting on the patio.
Brian Bittner: Makes sense. Thanks for all the color guys.
Operator: And we'll go to our next question from James Weatherford [ph] of Stevens Incorporated.
Unidentified Analyst: Hey, thanks for taking the questions. I wanted to ask about independent closers. It comes up in every call in this space. A different angle on that question if I may. You have a meaningful bar business inside your restaurants. And many bar only concepts have been under more pressure than restaurants given they can't do the off premise as significantly. Had you observed any meaningful supply contraction from bars in your markets. And just when we think about the real opportunity is? Is it’s a gain market share in that category for business, and that can appear subscription for plays as well?
Greg Trojan: We don't, in fact, even in a normal times, our industry doesn't do a great job of tracking this. So it's all anecdotal. Here, again particularly we're spending more time or less time out and about than we'd like, but here in California, there's definitely been a pullback. And to your point, I'd say, it's been the hardest hit have been bars for probably obvious reasons, right. Except for those that are totally ignoring the rules and laws as I was referring to and are remaining open with the indoor service. But I do think that element of the restaurant businesses is going to be the hardest hit there. And it's interesting to say, we're developing and working on a beer subscription program that related to that, but that could be a fortuitous coincidence for us an opportunity in that regard.
Greg Levin: James, again, it is hard to try and get the correct numbers around the closures. Knowing, Southern California and driving around this area, I think Greg said it well, you see a lot of independent restaurants that are maybe more of a sports bar related, just kind of went off that don't have patios out there and kind of shut their doors. We don't know if it'll be permanent or if it's temporary. But there's a lot of the independent, more bar centric restaurants, but definitely a close, it's fairly obvious driving around. But it doesn't get quantified in a lot of the national information, so to speak.
Unidentified Analyst: That color is helpful. The second question is a bit of a follow up on a previous question. Just digging into state level trends a little bit. You gave some helpful detail in your business update a few weeks ago, on what you were seeing in some of the, I guess, less restrictive states in Texas, Florida, and so forth, and the comps they were doing and I think negative mid teens in January. I'm just curious, what's the bridge to get back to flat there? Do you think in those states at this point in time, it's purely a capacity constraint, we've got customers just waiting during peak times to get a seat? Or if there's still some demand hurdles that really will take, pull vaccination or something close to it to get them to normalized or better sales levels, compared to pre COVID?
Greg Trojan: It's all about capacity. It's all about capacity. You have to remember, it's not just number of seats, but it's curfews curtailing late night. Day parts. In California you can't have TVs on in the restaurant. So people aren't showing up to watch a game. So it's all about the lifting of restrictions and establishing capacity.
Unidentified Analyst: Understood. Thank you very much.
Greg Trojan: Thank you.
Operator: And we have time for one more question. We'll go to Brian Mullan of Deutsche Bank.
Brian Mullan: Hi. Thanks. Just question about the subscription beer club you just mentioned. What kind of listing traffic are you seeing where you put it in place? If you'd be willing to quantify or provide color on that? And are you seeing good food attach on that traffic? And then maybe just remind us, is this at program, you see eventually across the entire base of stores or is it something you think maybe only works in certain locations? Thanks.
Greg Trojan: I'm sorry, Brian. I missed. We couldn't hear the middle question of -- it was what kind of traffic are we seeing? And then there was something between that and the national expansion question.
Brian Mullan: Yes. Sorry. Are you seeing good food attach on traffic that comes in due to those program? And then does this program work everywhere? Or is it only maybe certain states where you have ambitions for it?
Greg Trojan: Yes. Look, we're not in a position given. Its early stage here to start citing specific metrics. I'll give you a few general observations, though. The first indicator is our people willing to sign up and give you their credit card and subscribe. And look, all of these are caveated. We rolled -- we launched this program on September of last year in the midst of all this with full awareness. So we've had ups and downs. We need at least outdoor dining in some form and dining rooms here. So even despite those hurdles, we've seen signups that rates that have been encouraging as what I tell you. I mean, we were exceeding our expectations and the interest level, not just interest level, but actually sales levels at the outset. So that was happening and has been happening faster than we anticipated. And we're also encouraged by the attach rate you're asking about. People are using these benefits. So I'll give you an example. One of them is the ability to refill a growler for $5 if you're a member. People love refilling growlers for $5. But the good news is over half the people that are doing that are actually buying food or again, an attach rate and an appetizer or whatever to go along with that growler, for example. So we like what we're seeing in terms of overall activity. We want people, it's sort of like the health club business. We want people to use the health club and get on the treadmill. We want people to take advantage of these offers because we want them to stay members, right? So again, I say all of this with the like super caveat, we're in eight restaurants in weeks not years here or months, not years. But we like what we're seeing on those key metrics. In terms of the national question, we are limited from TABC or the state and local alcohol and tied-house laws of where we can implement the program today. We like the fact that COVID has initiated a number of states or sometimes they're kind of wherever tied-house laws to be used in terms of carry-out. So we are advocates of maintaining that flexibility in those states. So that's the plan is that we continue to see these kind of results after California has to start approaching those states.
Greg Levin: Yes. I think it covers somewhat in an average of about 70% of our restaurants, where we'd be able to move the Beer Clubs here and depending on if other states open up, you might be able to get that number higher.
Brian Mullan: Okay. Thank you.
Greg Levin: You're welcome. All right. I believe that was our last question. Is that correct operators?
Operator: Yes, sir. And, at this time, I'll advise that does concludes today's call. Thank you everyone for your participation. You may now disconnect.
Greg Trojan: Thanks, everybody.
Greg Levin: Thank you.